Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Emergent BioSolutions Second Quarter 2021 Financial Results Conference Call. [Operator Instructions] I would now like to hand the conference over to your speaker today, Mr. Bob Burrows, Investor Relations Officer for the company. Please proceed.
Bob Burrows: Thank you, Michelle and good afternoon everyone. Thank you for joining us today as we discuss the operational and financial results for the second quarter of 2021. As is customary, today’s call is open to all participants and the call is being recorded and is copyrighted by Emergent BioSolutions. In addition to today’s press release, there is a series of slides accompanying this webcast available to all webcast participants. Turning to Slides 3 and 4. During today’s call, we may make projections and other forward-looking statements related to our business, future events, our prospects or future performance. These forward-looking statements are based on our current intentions, beliefs and expectations regarding future events. Any forward-looking statement speaks only as of the date of this conference call and except as required by law. We do not undertake to update any forward-looking statement to reflect new information, events or circumstances. Investors should consider this cautionary statement as well as the risk factors identified in our periodic reports filed with the SEC when evaluating our forward-looking statements. During today’s call, we may also refer to certain non-GAAP financial measures that involve adjustments to GAAP figures in order to provide greater transparency regarding Emergent’s operating performance. Please refer to the tables found in today’s press release regarding our use of adjusted net income and adjusted EBITDA and the reconciliations between our GAAP financial measures and these non-GAAP financial measures. Turning to Slide 5. The agenda for today’s call will include Bob Kramer, President and Chief Executive Officer, who will comment on the current state of the company; and Rich Lindahl, Chief Financial Officer, who will speak to the financials for 2Q 2021 and as well as the forecast for full year 2021, including guidance on 3Q 2021 total revenue. This will be followed by a Q&A session where additional members of the executive leadership team are present and available as needed. Finally, for the benefit of those who may be listening to the replay of the webcast, this call was held and recorded on July 29, 2021. Since then, Emergent may have made announcements related to topics discussed during today’s call. And with that introduction, I would now like to turn the call over to Bob, whose comments begin with Slide 6. Bob?
Bob Kramer: Thank you, Bob and good afternoon everyone. Thanks for joining us on the call this afternoon. Today, I’d like to spend some time talking about the progress we’ve made at our Bayview and then talk more broadly about the health of the overall business and our continuing dedication and focus on public health threats. Our second quarter performance reinforces the strength of our strategy and we are maintaining our overall guidance for 2021. Rich will go over in more detail those numbers in a few minutes. My comments are summarized across Slide 6 and 7 in the deck accompanying the call. Turning first to our efforts to produce COVID 19 vaccines. There’s been a great deal of attention paid to Emergent’s history as a public health risk company with a leadership role in working with the U.S. government on biodefense. When the pandemic struck, America turned to Emergent because of our history and unique capabilities, while millions of COVID-19 vaccine doses that we manufactured are currently protecting people around the world. We faced serious challenges along the way. We didn’t always live up to expectations, including those that we set for ourselves. However, we have learned some important lessons which are allowing us to improve our operations and at the same time strengthening America’s public health response for the future. The FDA inspection of Bayview earlier this year identified a number of areas for improvement. Along with Johnson & Johnson, we established a comprehensive, robust quality improvement plan, which includes facility improvements, capability building and deployment of enhanced tools and controls. We reviewed this plan with the agency and immediately began its implementation. We also made additional investments during the quarter in quality, compliance and operations. All of this work is in order to satisfy both ourselves as well as J&J and demonstrate to the FDA that we’ve achieved a level of sustainable compliance that will allow us to resume production. We’ve made significant progress toward this goal and as we announced earlier today, we received the green light from the FDA to resume production at the site, which will continue to be the subject of routine inspections by the FDA. The Emergent team has shown remarkable resilience, and I want to thank them for staying focused on delivering on our commitments to patients and customers. They know at the end of the day, that’s what matters most. I also want to recognize our strategic partners and particularly the strong collaboration with our J&J colleagues. We continue to work closely with them and the FDA as previously manufactured batches of COVID-19 drug substance are released and added to J&J’s emergency use authorization, helping protect tens of millions of lives around the globe. We’re awfully proud of both of these accomplishments. The hard work and investments that we’ve made in Bayview over the last decade, in particular the last few months are starting to pay off. In addition, we continue to work collaboratively with AstraZeneca to complete all documents related to their drug substance. So they and the U.S. government can make decisions regarding the disposition of this material. Moving more broadly to our overall business. We’re in year two of our 2020 through 2024 strategic plan and continue to make meaningful progress against that plan. So let’s start with our core medical countermeasure business. Our work supporting the U.S. government’s priorities to protect the American public against smallpox, anthrax and other category aid biologic agents remained stable. With respect to our smallpox franchise, in the second quarter, the U.S. government has exercised and funded the next term extension for ACAM2000 under our tenure contract. This option exercise is valued at approximately $182 million and requires all doses to be delivered by the end of this calendar year. This quarter, we also secured the next option exercise for our smallpox therapeutic VIGIV product valued at approximately $56 million. For our next generation anthrax vaccine candidate, AV7909, we continue to engage with the government regarding exercising the final option under the existing contract to procure additional doses for inclusion into the strategic national stockpile. The current procurement contract for AV7909 was put in place in 2016 and facilitated procurement by the SNS starting in 2019, while we seek full approval by the FDA. We continue to make good progress toward our target of submitting our AV7909 BLA later this year. In addition, we recently secured a procurement contract to supply doses of Anthrasil, our polyclonal antibiotic therapeutic for treating inhalational anthrax to the Canadian government as part of their anthrax preparedness strategy. On the R&D front, in addition to our anticipated BLA filing for AV7909, we advanced the number of our medical countermeasure programs, and I’d like to highlight two of them. Specifically, we continue work on our COVID-HIG candidate, which is being developed in collaboration with NIAID, BARDA and the U.S. Department of Defense as an early treatment option to address at risk COVID-19 populations. COVID-HIG leverages our polyclonal hyperimmune platform and continues to show neutralizing activity against variants of SARS-CoV-2 virus in, in vitro models. We anticipate in the near-term, the initiation of a Phase 3 study led by NIAID assessing the effect of hyperimmunes on patient populations that have not yet progressed to severe disease to determine the progression can be impacted. In addition, we recently obtained approval for our Trobigard auto-injector from the Belgian Regulatory Authority. Several years ago, through interactions with various governments around the world, we identified their need to have auto-injectors available in case of nerve agent attacks. And as a result we invested in building that capability. Achieving this first approval from our auto-injector platform is a key milestone in the maturity of our auto-injector platform. Moving next to our contract development and manufacturing business, or CDMO. When we first laid out in our last strategic plan, the goal was to leverage further our drug manufacturing network of nine sites to provide development services, drug substance and drug product services, to a diverse customer base. We obviously have seen significant growth related to the pandemic, which was unanticipated at the time, but beyond COVID-19, we continue to see strong interest from current and potential clients and are winning new clients and projects in all three service pillars, those being development services, drug substance and drug product and drug packaging. Interest is coming from small, mid and large companies, as well as governments and other organizations. Rich will provide detailed information on new business, the backlog and our rolling opportunity funnel. But I like to emphasize that even though we expect variation quarter-to-quarter as we grow the business, the growth over the 2019 baseline in our strategic plan is considerable. Overall, the key takeaways that our CDMO business unit remains strong as the industry’s demand for biologics manufacturing services continues to grow, while we pursue becoming an increasingly important service provider in support of pharma and biotech innovation. Finally, a third pillar of our 2024 strategy was to continue our focus on public health threats, while diversifying our customer base beyond the U.S. government. And I’m pleased to report the continued progress on that front as well. As you know, the opioid crisis has been a public health threat, and it’s claimed far too many lives and made even worse by the pandemic. As announced earlier this week, we’re very proud to be working with several nonprofits to help raise awareness of the risk of accidental opioid overdose through a month long public awareness campaign called Reverse the Silence. In addition, as we have previously discussed, the U.S. circuit court of appeals has scheduled the oral argument for NARCAN U.S. appeal for August 2 on the ongoing Patent Infringement Litigation. Based on this timing, we believe a decision is likely by the end of the year. Regardless of the outcome of the appellate court’s ruling, we continue to focus on the public health threat and our role as a provider of solutions to address the opioid epidemic. Continuing with the diversification theme, while the travel space – travel health space has been understandably challenging, we continue to make good progress with building our development stage vaccine candidates. We still expect to initiate a Phase 3 trial for Chikungunya virus VLP vaccine in 2021. In addition, and then supported this important development program, we recently announced positive two-year persistence data from a Phase 2 clinical study that indicated that our vaccine candidate appears to generate a rapid and durable immune response. We intend to publish the results of this study in the near term. We also plan to initiate a Phase 1 study in late 2021 and early 2022, related to a number of vaccine candidates in the pipeline, including our Shigella, Lassa and universal flu vaccine candidates. As you can see, we expect that the remainder of 2021 will be busy for our product development teams, including clinical regulatory and quality as our pipeline continues to mature. That wraps up my comments regarding the business overall. On the personnel front, we recently issued an 8-K announcing the reorganization of my direct reports, Rich Lindahl, our Chief Financial Officer; Karen Smith, our Chief Medical Officer and Katy Strei, our Chief Human Resources Officer continued to report directly to me. In addition, rounding out my direct reports, Adam Havey’s role has been expanded to include overall responsibility for all of our business units, as well as global manufacturing operations. Mary Oates role has been expanded to include a focus on operational excellence in addition to current responsibility for global quality. And finally, Nina DeLorenzo role has been expanded to include the management of the Global Communications and Public Affairs function, as well as the Global Government Affairs team. As part of this reorganization, the role of Executive Vice President for Manufacturing and Technical Operations that has been held by Sean Kirk has been eliminated and consequently Sean is leaving the company. We have a deep appreciation for Sean's 18 years of service at Emergent and wish him the very best for him and his family going forward. We believe this organization and reorganization of our management team allows us to best position for the long-term success of the strategic plan. To conclude, as you'll hear from Rich, our second quarter results demonstrate that Emergent’s business remains durable, resilient, employees for growth. We're on track with our 2024 strategy and Emergent is well positioned to play a meaningful role in strengthening our national public health threat preparedness. And I continued to be proud of each member of the Emergent team who come into work every day, focused on a mission to protect and enhance life. I'll now turn the call over to Rich, who take us through the detailed results for the second quarter. Rich?
Rich Lindahl: Thank you, Bob. Good afternoon, everyone, and thank you for joining the call. I'll start on Slide 9. As you can see from today's earnings press release, during the second quarter of 2021, we had solid top line performance, which was consistent with our expectations while our expenses were clearly impacted by financial ramifications associated with the situation at our Bayview facility, including direct costs associated with remediation efforts and inventory write-downs, as well as other costs to support and defend our corporate reputation. Despite recent challenges, we have continued to execute across all aspects of the business, vaccines, therapeutics, devices, and CDMO. Our financial condition remained strong with the liquidity and financial flexibility to fund our operations and pursue opportunistic investments. And we remain steadfast in our unwavering commitment to supporting global preparedness and response to public health threats. Today's announcement that we are clear to resume manufacturing at Bayview is a Testament, not only to that commitment, but also to the strong teamwork and organizational discipline that had been hallmarks of this company throughout it’s nearly 23-year history. With that, please turn to Slide 10 and let's first look at the details of our second quarter performance. A quick run through of key highlights include, total revenues of $398 million, an increase of $3 million versus the prior year and in line with our guidance and adjusted EBITDA $50 million and adjusted net income of $18 million both decreases versus the prior year due to a variety of one time and other expenses, which we will discuss in a moment. Breaking down quarterly revenue into its components, anthrax vaccine sales were $52 million lower than the prior year due to timing of deliveries. NARCAN nasal spray sales were $106 million, an increase over the prior year, driven by continued strong demand for this critical drug device combination product for opioid overdose reversal across both the retail and public interest channels in the U.S., as well as increased Canadian sales. Other products sales were $24 million consistent with the prior year and CDMO services revenue came in at $191 million, an increase over the prior year and reflecting contributions from all three service pillars, primarily for our government and innovator partners response to the COVID-19 pandemic. As Bob noted in his remarks, earlier in July, the U.S. government exercised the next ACAM2000 contract option that is valued at $182 million. Accordingly, we now expect sales of ACAM2000 to resume in the third quarter and to complete all related deliveries by the end of 2021. Looking beyond revenue, the quarterly results also include cost of goods sold of $228 million, a $98 million increase over the prior year. And reflecting the increased costs associated with a substantial increase in CDMO services revenues, as well as $42 million of inventory write-offs, which I will return to in a moment. Gross R&D expense of $49 million consistent with the prior year, reflecting our continued commitment to investing in our pipeline of development programs across our three product focused business units. Net R&D expense of $24 million or 6% of adjusted revenue consistent with the prior year, SG&A spend of $91 million or 23% of total revenues, an increase over the primary prior year, and primarily reflecting the impact of higher costs to support and defend our corporate reputation and combined product and CDMO gross margin of $144 million or 39% of adjusted revenue, a decline of $97 million and reflecting the impact of $42 million of inventory write-offs due to raw materials and in-process batches at the Bayview facility that the company plans to discard as they were deemed unusable. $43 million associated with the product and service revenue mix, which was weighted more heavily to lower margin products and services and $12 million associated with costs incurred to remediate and strengthen manufacturing processes at our Bayview facility, many of which are temporary in nature. Turning to Slide 11, we will now review our key CDMO metrics. In the second quarter, we continue to obtain incremental contract awards resulting in secured new business of $53 million. However, this outcome was significantly offset by $108 million of negative contract modifications. As of June 30, the backlog is $1.1 billion. And lastly, as of June 30, the opportunity funnel was $672 million down from $807 million at March 31. While the CDMO teams ongoing business prospecting and marketing initiatives continue to generate new opportunities. For now, we are removing potential opportunities at Bayview as all manufacturing activities at that facility are currently prioritized to support the J&J COVID 19 vaccine. As a reminder, the opportunity the funnel does not include any value associated with an extension of the commercial supply agreement with Johnson and Johnson into years three to five of the existing contract. On Slide 12, you can see the sequential trends in these metrics over the last four reporting periods. We remain committed to serving our existing customers and continue to execute on our marketing initiatives with pharma/biotech innovators across all three of our service pillars. We look forward to making further progress in this important part of our business as we move forward from here. Moving onto Slide 13 for a review of our balance sheet and cash flow, we ended the second quarter in a strong liquidity position with $448 million in cash and $262 million of accounts receivable resulting in aggregate current liquid assets of nearly $710 million. This compares with approximately $732 million of aggregate current liquid assets as of the end of the first quarter. We also still have undrawn revolver capacity of just under $600 million. Finally, at the end of the second quarter, our net debt position was $416 million. And our ratio of net debt to trailing 12 month adjusted EBITDA remained below one times. Please turn to Slides 14 and 15 for review of our 2021 forecast and associated key considerations. As detailed in today's press release, we are reaffirming our 2021 outlook. Importantly, our 2021 outlook takes into account a number of key considerations, which are listed in our earnings press release and remain largely unchanged from our first quarter update. These considerations include No Raxibacumab revenue until 2022. The Naloxone market remains competitive with at least one new entrant this year, but no generic entrance prior to the resolution of our patent litigation case and the successful manufacturing of J&J’s COVID-19 vaccine at Bayview. On that last point, the FDA’s green light to restart production at the site, which we confirmed earlier today is a key milestone toward that end. One consideration that has been revised is that our expectation for gross margin for the full year is now approximately 61% to 63% on a GAAP basis, a reduction of 200 basis points from the prior range of 63% to 65%. This change reflects the impact of the Q2 2021 performance as well as expectations for the remainder of the year. We anticipate that this lower margin will be offset by cost savings related to R&D and SG&A. Lastly, we are providing third quarter total revenue guidance of $400 million to $500 million. To conclude, please turn to slide 16 for some summary comments. In the second quarter 2021, we continue to deliver solid financial results that keep us on track with our full year outlook. On a year-to-date basis, our revenues of $741 million represent approximately 41% of our full year 2021 forecasted total revenues at the midpoint, a similar waiting between first half and second half total revenues as has occurred in each of the last four years. We remain confident in the strength of the business, which continues to be robust and resilient with the capabilities, capacity and financial strength needed to deliver preparedness and response solutions to a wide range of public health threats. That completes my prepared remarks. And I'll now turn the call over to the Operator, so that we can start the question-and-answer session. Operator?
Operator: Thank you. [Operator Instructions] Your first question is from the line of Brandon Folkes with Cantor Fitzgerald. Please go ahead.
Brandon Folkes: Hi, thanks for taking my questions and congratulations on all the progress. Firstly, on the CDMO backlog, would you be able to just give some color around the $108 million negative contract modification, even if it's just a comment where it is COVID related or not. And then along those lines, yes, can you comment at all, if there've been any efforts to recover any revenue by J&J or BARDA? And then secondly, congratulations on the announcement this morning, can you just help us understand the difference between resuming manufacturing at Bayview versus all out EUA for that facility? Does this have any impact at all on your ability to deliver to J&J? Or is it sort of, yes, I don't want to be flippant, but a bit more procedural and you have no limit – you are now able to completely fulfill the needs of J&J? Thank you.
Bob Kramer: Yes, Brandon, thanks for joining the call. Thanks for the series of questions. So I'll tackle a couple of them and then I'll ask Rich to comment on specifically on your question about the $108 million adjustment. So maybe first of all, your question about attempts to recover any money, let me just hit that one square on. Our assumptions going forward in the guidance number is that Rich talked about it and I talked about assume we continue to execute against the existing contracts that we have in place. And we have every expectation of being successful and in doing so. Your question, which is a good one around kind of resuming production versus emergency use authorization approval, so I think as you know up to now, the FDA has approved the use of certain batches of material from J&J under an exemption or an exception to their emergency use authorization. And we expect that will continue as it relates to product that has already been manufactured. Going forward with I’ll say new campaign production, there are a number of variables that kind of go into that mix, Brandon but just to be clear. Our – the nature of our contract with J&J is that we get paid when we successfully manufacturer drug substance. It really doesn't hinge on FDA approval of doses to be released to the public. So with that Rich, can I ask you to comment on Brandon's first question regarding the $108 million number?
Rich Lindahl: Yes. Thanks Bob, and thanks Brandon for the question. So in terms of what drove the $108 million of contract modifications, the biggest component relates to the wind down of our work at Bayview with AstraZeneca. But I'd note that there were also a number of contract modifications with other clients that came about due to change orders in the ordinary course. So that gives a little more color on the $108 million.
Brandon Folkes: Rich would you – just to confirm, would you be able to say that that $108 million did not come through outside of the AstraZeneca portion, I guess through BARDA or J&J?
Rich Lindahl: I think we're not going to confirm specifically, but I would say that under the contracts, as Bob said, our guidance assumes that we're going to fulfill the obligations that we have under our existing contracts.
Brandon Folkes: No, thank you. And I appreciate that. Thank you to your bias. There's a lot of good color. Congratulations. I know there's a lot of work.
Bob Kramer: Thanks, Brandon.
Operator: Your next question comes from the line of Jessica Fye with JPMorgan. Please go ahead.
Jessica Fye: Hey guys. Good afternoon. Thanks for taking my question. Maybe just first one, I think you had previously considered updating your long-term guidance at some point this year. Is that something we should still think about for 2021?
Bob Kramer: Yes. Jess, thanks for joining the call, thanks for the question. So you're exactly right. We are now kind of going through a process of we call it strategy refresh. If you will adjust, what we're looking at the principle assumptions that we put together in the fall of 2019 for the five-year period of 2020 through 2024, and making sure that those are still kind of valid assumptions. Obviously the business has gone through a bit of change over the last 15 to 18 months and we hope to be able to update and provide some color either later this year or early next year at some type of annual investor day.
Jessica Fye: Okay, great. And then another question on COGS, I notice the change in the COGS or gross margin guidance. There was a line in the press release that said something along the lines of, many of the items impacting COGS this quarter are expected to be temporary. I was curious if you could elaborate on which were not conflict the inventory right off, probably is temporary, but what else kind of is and isn't? And should we – I think really about – you're changing 2021 COGS that is, how should we think about the kind of residual impact to COGS saying 2022 and beyond?
Bob Kramer: Great, thanks. Rich, you want to take that one?
Rich Lindahl: Sure. So in terms of things that were temporary you're right. The inventory write-off is the biggest one. When we looked at efforts to execute our quality enhancement plan, there were a number of remediation costs, things like decontamination, some work to update operating procedures and documentation, training of staff, things of that which really were more incurred on a one-time basis. Some may continue for a short – for a little bit longer, but are not going to be necessarily in the magnitude they were in the second quarter persistently some of the other costs were increased investment in additional staff as well to ensure that we had the ability to really execute our functions and processes at Bayview in a CGMP compliant manner. So that's really what the differentiation is there. In terms of our overall COGS guidance, I mean, I think somewhere in that kind of low to mid-60s area in terms of gross margin is not a bad assumption. I mean, it's always going to depend on the mix of products and services. And so we'll have to see how that evolves from year-to-year in over time, but that's – overall fundamentally the business hasn't changed.
Jessica Fye: Okay, great. And maybe just one last one slightly related to this, any change in the way you're thinking about the company's need for CapEx investments going forward?
Bob Kramer: Yes, I don't think so, Jess. I think we continue to look particularly in the CDMO area for opportunities. Again the demand clearly is there for the full portfolio of service offering that we have in our network. So we continue to look for opportunities there. Other than that, I think it's the normal kind of course of roughly maintenance CapEx given our nine network facilities and normal investments and things like IT, infrastructure and preparing the organization for continued growth.
Jessica Fye: Great. Thank you.
Operator: Your next question comes from the line of Jacob Hughes with Wells Fargo Securities. Please go ahead.
Jacob Hughes: Hi, thanks for taking my question. On the NARCAN guidance based on the first half I think of $180 million in revenue that assumes deceleration in the back half of the year. Could you provide some color on your assumption there?
Bob Kramer: Sure, Jacob. Thanks for joining the call. So as you know, and as you have kind of reconciled, we had roughly $74 million or $75 million of revenue for NARCAN in Q1 a much stronger quarter in Q2, as rich commented on. We see some potential kind of tailwinds going into Q3 and Q4. I mean, we see strength overall in that part of the business and we’ve set our guidance accordingly at that $305 million to $325 million range. And think that – again, we expect it to land within that range, but there are clearly some headwinds and some tailwinds that could impact that, but being a bit conservative, that’s where we’ve landed the revenue guidance for 2021.
Jacob Hughes: Okay. And then on the follow-on raxi contract. I mean, has RFP then issued yet, and when do you think that could be awarded? I know previously you said that’s going to probably slip into next year, but could you provide an update on that?
Bob Kramer: Yes, Jacob, that’s still our belief is that it will be a 2022 event. So I think as we’ve commented on in the past, we’ve taken any raxi revenue out of the guidance and forecast for 2021 and still expect that to occur next year.
Jacob Hughes: Okay. Thanks very much. Thank you.
Operator: Your next question comes from the line of Keay Nakae with Chardan. Please go ahead.
Keay Nakae: Yes. Thanks. Two questions. The first in terms of the CDMO pipeline. What kind of pushback were you getting from potential customers given the issues of Bayview?
Bob Kramer: Yes. Keay, thanks for joining the call. So as I included in my comments and Rich did as well, we still see support and interest in the broad service offering that we have throughout our network. Again, as we’ve talked about of the nine sites that we have in our network, five of them are generating revenue today. And if you look and walk across the development services, the drug substance, as well as the drug product capability that we have supporting as many as five different platform technologies. That’s a pretty unique product and capability offering that we have. So we still see strong demand from small, mid and large clients from clinical and commercial customers, government and strategic partners. So that business remains strong. The interest is strong. Again, admittedly, we need to get through this a bit of a firestorm in Bayview, which we’re in good place to go quickly. But we – again, see continued strength in that CDMO business unit long-term.
Keay Nakae: Okay. And for AV7909, under the 2016 contract, there were a number of options as you made the transition to that product. Can you remind us where we are in terms of remaining options? And then at what point do we start thinking about a new supply agreements?
Bob Kramer: Yes. So if you go back to the second half of 2016, that contract was structured in two pieces, Keay, there was a development piece worth roughly $250 million. And then there was a $1.2 billion or $1.3 billion sleeve, if you will that was earmarked for the procurement of up to 50 million doses over the next five-year period. The SNS and BARDA began procuring AV7909 under that second sleeve in 2019. And it’s our view that this next tranche or next exercise will help bridge between now and when we get full BLA approval in about a year and a half.
Keay Nakae: Okay. And does the agency view an approved product, any different than what you’re currently buying under the pre- EUA in terms of your possible economics?
Bob Kramer: Yes. I think when we put the contract pricing in place in 2016, we negotiated with both the development, as well as the procurement terms were going to be, okay. So that’s really all already been negotiated. And I’m not anticipating any significant change from what was done five years ago.
Keay Nakae: Okay. Thanks.
Operator: [Operator Instructions] Your next question comes from the line of Lisa Springer with Singular Research. Please go ahead.
Lisa Springer: Thank you. Good afternoon. And thank you for taking my question. My question is around the amount of cash on the balance sheet. I was wondering how likely are we to see an M&A activity in the second half of the year? And what is the Board’s current thinking regarding share repurchases?
Bob Kramer: Yes. Thanks, Lisa, for joining the call and thanks for the question. So I’ll let Rich talk a little bit about the cash that we have on the balance sheet. But in terms of its potential use, I’ll go back to what we said for many, many years in terms of our priorities for capital allocation, which is first obviously to support the working capital needs of the business, next to invest in capital expenditures to support the execution of the strategy and third is M&A. And then to the extent that there is excess cash liquidity, we will consider as we have in the past programs like buyback. So in terms of M&A, we continue to look for and look at opportunities that are of strategic importance and fit with our overall strategy across all areas of the business, vaccines therapeutics, devices and CDMO. So we continue to be again, active in looking at opportunities. I think that what we’ve built over the last five years is very scalable and leverageable for additional assets. But maybe with that Rich, you can talk a little bit about the cash that’s in the balance sheet today.
Rich Lindahl: Yes. So we are certainly sitting, as I mentioned in my remarks in a very strong liquidity position as of June 30, both in terms of actual cash on the balance sheet accounts receivable as well as access to undrawn revolver. So we certainly have the flexibility to pursue all those options that Bob articulated and we’ll continue to maintain that solid position as we go forward.
Lisa Springer: Okay. Well, thank you for the color.
Rich Lindahl: Sure.
Bob Kramer: Thanks, Lisa.
Operator: And I’m showing no further questions at this time. I’ll turn the call back over to you, Mr. Burrows.
Bob Burrows: Thank you, Michelle. With that ladies and gentlemen, we now conclude the call. Thank you for your participation. Please note an archived version of today’s webcast, as well as a PDF version of the slides used during today’s call will be available later today and accessible through the investor’s landing page on the company website. Thank you all again and we look forward to speaking with all of you in the future. Goodbye.
Operator: And this does conclude today’s conference call. You may now disconnect.